Operator: Thank you for standing by and welcome to the investor conference call. (Operator Instructions) Let me hand the call for your speaker today, Paul Gooden. Over to you, sir.
Paul Gooden: Thank you and good afternoon. This is Paul Gooden, investor relations officer at Subsea 7. Joining us today are Jean Cahuzac, our Chief Executive Officer; Ricardo Rosa, our Chief Financial Officer; and John Evans, our Chief Operating Officer. Today’s results for the second quarter, which ended on June 30 of 2013. The press release can be found on our website along with the presentation slide we’ll be referring to in today’s call. Before we start the presentation, I’d remind you that certain statements made in the course of this conference call, which expressed the company’s intentions, beliefs and expectations are forward-looking statements. Future results and trends could differ materially from those which are in such statements. Details of these can be found on the company’s filings including the company’s annual report. May I also draw your attention to the more detailed disclosure and forward-looking statements that appear in today’s press release? The call will run for about an hour. And with that, I’ll hand you over to Jean.
Jean Cahuzac: Thank you, Paul. Good afternoon and welcome to everybody. I would like to reflect briefly on the quarter and the market, then Ricardo will run through our financial results and before we take your questions, I will make some observation on the outlook. Turning to slide three, Q2 results have been strong excluding Brazil. The group suffered a net loss of 13 million for the quarter due to the 300 million loss on the Guara-Lula project that we have recognized in the period. While the Brazilian result has been disappointing, I’m pleased with our performance outside the Guara-Lula project. Margins were strong throughout the rest of the business and excluding the Guara-Lula provision, our EBITDA margin was 26%. Result in AFGOM and APME while driven by strong project execution and high levels were reflected in the vessel acquisition of 86%. That was also a good contribution from our SapuraAcergy and Seaway Heavy Lifting joint venture. I will now give you an update on the Guara-Lula project. Our views on future financial risk associated with its project remain in line with what represented during our last call in June. Design engineering is complete. We have made good progress with procurement and importation of equipment. The key components of the buoy center, now either in Brazil, or will arrive in Brazil in the coming weeks. Supply chain is not presently on the project critical part, although we have been experiencing some challenges with one of our 50 equipment suppliers in Norway. We are working jointly with Petrobras to overcome this specific issue in a timely manner. Production of riser at Ubu, our spoolbase, is now progressing well and is not in the project critical part. We have moved into the main offshore phase of the project this quarter with the Seven Polaris and the Seven Ocean deployed on location. Weather conditions remains challenging and having an impact on installation operation. As we counted in June, we expect a difficult weather condition to continue until the Caribbean winter season is over in the fourth quarter. So overall the project remains challenging. Turning to slide four, you can see the development of our backlog. We had expected the backlog to continue to grow and its positive trend is confirmed. In the quarter, we announced significant contract awards in the North Sea including mariner, but also in the U.S. Gulf of Mexico and offshore Mexico with head back in line 67 and in Brazil with the renewal of the seven PLSV contracts. We have also announced further 2 billion of contract awards in the end of the second quarter with the renewal of the PLSV contracts and award of three new BPL entries. Turning now to the global market, on slide five, tendering activity remains high. Although some industry projects have been postponed for variety of reasons, there has been no chance in the market since our first quarter to second quarter. Despite its post payment, we remain positive on market trend as we see growth opportunities arising in all major markets all meet at varying space. In NFC, tendering level remains strong and the trend towards the EPIC model for the Lakach development project continue. This business model suits our capabilities and we believe that we can achieve the core risk profile for this project while providing super added value for both our clients and ourselves. In Gorgon, we’ve seen some long-awaited function and awarded to the industry in West Africa. As always, there is certainty on the timing of further market award but this is not unusual for the region. In the Gulf of Mexico, we are seeing improving activity level in the U.S. and in Mexico, although from a base. In Brazil, Petrobras has awarded 10 new PLSV into the market in recent months and is in the process of renewing existing PLSV contract. We believe the tender line Petrobras long-term demand, although flexible pipe in vessels. Finally, in APME, activity level are improving with a number of significant project expected to come to market in the next few months, but pricing condition in general remain more challenging than in other territories. And with that, I shall pass you to Ricardo who will talk to you through the numbers.
Ricardo Rosa: Thank you, Jean, and good afternoon everyone. As Jean has stated, the results for the second quarter 2013 reflected good performance in all territories excluding Brazil. I will now discuss the consolidated income statement and the territory’s operating results for the second quarter and then comment on the cash flow and balance sheet. I will conclude with an update on our financial guidance for 2013, As shown on slide six, second quarter revenue was $1.7 billion, up 13% on the prior year period. Second quarter net operating income was $41 million after making a further $300 million provision for losses incurred in the quarter and forecast to be incurred over the remaining life of the Guara-Lula project. After deducting net finance cost of $10 million and net foreign exchange losses of $11 million, income before taxes was $20 million down $484 million on the prior period, which had benefited from $220 million gain on the sale of our 49% interest in NKT Flexibles as well as net foreign exchange gain of $43 million. The second quarter tax charge of $33 million resulted in an effective tax rate of the quarter of 167%. As previously announced, we are not anticipating any tax benefit from the losses incurred on the Guara-Lula project due to the tax profile of the infected entities. And as a result, our updated guidance for the underlining effective tax rate for the full year 2013 is between 51% and 54%. The high effective tax rate in the second quarter reflect the additional tax charge which was required to bring our underlying effective tax rate for the first half of 2013 interline with the revised full year forecast. I must add that the taxation charge of $59 million for the first half year benefitted from certain discrete tax items which reduced the underlying effective tax rate of 54% through an effective tax rate of 33% for the period. The net loss for the quarter was $13 million resulting in a diluted loss per share of $0.05. I turn now to slide seven on the territory operational performance in the second quarter. The North Sea and Canada delivered revenue of $705 million, broadly unchanged on the prior year period while operating profit of $136 million increased by $43 million, up 46%. The second quarter net operating income margin of 19.3% compares favorably to the prior year period margin of 13.1%. With now project move into the offshore phase in the second quarter and Martin Linge passed through the 5% of percentage completion threshold. Project substantially completed in the quarter include B11 and DSF while commercial close-up was achieved on a number of smaller projects. The Seven Oceans move to Brazil for 2013, and this partly explains why revenue was slightly down on the prior year quarter despite high activity levels. Overall, the execution of more recently tended higher margin projects continues to benefit the territory’s profitability. Africa and Gulf of Mexico delivered revenue of $699 million in the quarter, up 24% compared to the prior year period while net operating income of $133 million gave rise to a net operating income margin of 19.9%, which was down only slightly on the prior year period margin of 20.9%. Good progress was made on CLOV, offshore Angola, although it’s a low margin, and offshore Nigeria. Progress was also made during the quarter on engineering of procurement for Lianzi, BPGS and [inaudible]. The last of this passing through the 5% of completion threshold. Profitability also benefitted from a number of variation orders agreed with clients during the quarter. Asia Pacific and Middle East delivered revenue of $142 million and net operating income of $33 million, up 67% and 20% respectively on the prior year period. Offshore work was completed on ONGC G1 offshore India and the Gorgon Umbilical project, offshore Australia. The territory’s margin also benefited from the contribution of the SapuraAcergy joint venture with its vessel, the Sapura 3000 active on the offshore phase on Gumusut. Brazil reported a net operating loss in the quarter of $294 million due to the $300 million additional full-life loss provision recognized on the Guara-Lula project. As Jean had mentioned, our view of the financial risk related to the project remain in line with what we communicated in June. Regarding PLSV activity, we do not expect to see the positive impact on profitability resulting from the contract renewal until late 2013 and early 2014. Lastly, the corporate segment delivered an improved performance with net operating income rising 87% over the prior year quarter to $32 million due to lower administrative expenses and a strong contribution from our 50% interest in the joint venture Seaway Heavy Lifting. Turning to slide eight, I will comment on some specific line items. Administrative expenses amounted to $66 million in the quarter, $12 million lower than the prior year period due to the absence of post-merger integration expenses and tight cost discipline. The contribution from associates and joint ventures rose to $62 million due to the higher activity levels at both SapuraAcergy and Seaway Heavy Lifting. Net operating income of $41 million for the quarter is stated after depreciation and amortization of $88 million, up $3 million on the prior year period. We also incurred impairment charges of $11 million, including $8 million related to the Lochnagar which is being classified as an asset host of sale [ph] with disposal expected in the third quarter. Net finance cost of $10 million have increased $4 million compared to the prior year period, mainly reflecting the impact of interest and discretion [ph] related to the $500 million convertible bond issued in October 2012. While the $11 million of other loses reflected net foreign exchange losses due to a modest strengthening of the US dollar against certain functional currencies as compared to other gains totaling $263 million in the prior year period. These resulted from net foreign exchange gains and the gain on sales of entity flexible that I have previously highlighted. Turning to slide 9, net cash from operating activities in the first six months of 2013, totaled $465 million, this included a $330 million cash inflow from a decrease in net operating assets. This decrease was largely driven by an increase in operating liabilities arising in part from the fact that the $300 million in additional Guara-Lula related losses recognized in the second quarter have yet to materialize as cash outflows. There was a minor improvement in operating receivables over the six-month period totaling $88 million with improve cash collections in the first quarter being largely offset by increased receivables in the second quarter, driven partly by revenue growth and partly by short-term delays in payments by certain clients. Working capital management remains an area of management focus. Net cash used in investing activities with $312 million. The key capital expenditures in the first half year were the acquisition of the Simar Esperanca, the construction of the Seven Waves and the Seven Kestrel which is the name of our new diving support vessel, and initial master down payments [ph] to the shipyard and equipment suppliers prior to the start of construction of the heavy construction vessel in the second half of this year. Net cash used in financing activities was $298 million. The key items being the repayment of the Seven Havila loan and the loan to our asset earning joint venture with Eidesvik to finance the construction of the Life-of-Field support vessel the Seven Viking. The dividend of $0.60 per share approved at the annual general meeting on the 28 of June was recognized payable at 30 of June. And the $199 million distribution was made early in the third quarter. We finish the quarter with a cash and cash equivalent balance of $1.1 billion increased borrowings [ph] of $1.4 billion. Our current levels of liquidity and our access to the debt markets positioned us well to meet our dividend payment and potential convertible debt redemption obligations in the second half of 2013. To end I’ll now turn to our financial guidance for 2013 on slide 10. If we exclude the impact of the $300 million in Guara-Lula related loses recognized in the second quarter, we expect to deliver progress in full year EBITDA compared to 2012. We have revised downward [ph] by $20 million our guidance for administration expenses to between $330 million and $350 million but have increased the projected range for the underlying effective tax rate to between 51% and 54% to reflect the lack of tax benefit of [inaudible] Guara-Lula project loses for the reasons I have already discussed. The other items of guidance remain unchanged from the previous quarter. I’ll now turn it back to Jean.
Jean Cahuzac: Thank you, Ricardo. I would like to provide some additional guidance by Territory on slide 11 and 12. In NSC we expect normal seasonal vessel utilization in Q4. And I must remind you that the Seven Ocean have moved to Brazil, which in fact NSC revenues in 2013. In AFGOM, we expect to continue to make good progress on recently awarded projects like Lianzi and Ehra North, although I must emphasize that they do not start the offshore phase until 2014 and 2015 respectively. Project execution was good in the first half and we remain key to financial betterment [ph] into second half. In Brazil, the Guara-Lula project as I mentioned earlier is in offshore installation phase but we expect whether to continue to impact progress until the end of Brazilian winter period. We are making progress in implementing our business strategy for PLSVs. The Lochnagar to be retired in early Q3 and we expect the discussion with Phoenix [ph] for the renewal of the Seven Mar and Kommandor PLSV contract will be completed later this year. Turning to APME, 2013 will be an active year for the SapuraAcergy joint venture which is in the offshore phase of the Gumusut project in Malaysia. 37 [ph] is also active in the offshore phase of both Gorgon project in Australia. On slide 13, we set out [ph] the new big vessel currently under construction. Starting with the PLSV, the construction of the Seven Waves is going well. You heard it was [ph] launched in Notradame in Q2, few trials will take place in Q3 and [inaudible] construction equipment will be installed later this year. We expect the vessel to become operational in Q2 [ph] next year. We have committed to three further vessels during the quarter. This new PLSV were [ph] also based Notradame by the same contractors we are using for the Seven Waves. This newbie vessels are all backed by five-year contract with Petroblack [ph]. And our experience with the Seven Waves give us confidence that it will deliver on schedule and within our cost targets. Our new DSV, the Seven Kestrel is staying in the Notradame market [ph] where we see continues strong demand. The project is also on schedule and in line with our cost target with start of operation projected by early 2016. And finally our new heavy construction vessel is aimed at the growing market for increase Subsea lifting capability. As it trend toward the key processing and development of deep fossils [ph] continues to become a reality, we believe the 600 ton crane on this vessel, we’ll position it well for future work. Slide 14, highlight some of the technology we are developing. Technology continues to be increasingly important in our industry and there are growing technology reach in the project we are tendering [ph]. In response to this trend, Subsea 7 consistently invest in new technology. One proprietary technology I want to highlight today on slide 15 is towed bundles. This is a technology particularly shooting to the [ph] the North Sea. Our facility in Wick gives us the ability to assemble two offshore pipeline bundles up to nearly 8 kilometers long and then installed them on open congested T-base [ph] in the North Sea. The latest example of Subsea 7 success with this technology is our 71 bundle we just completed for BuBi [ph] project. So in summary turning to slide 16, outside Guara-Lula we have delivered a good results during the quarter driven by robust project execution. Our views on future financial risk associated with the Guara-Lula project remain in lined with what we’ve presented during our previous call in June. For the full year excluding the $300 million in Guara-Lula losses, we expect to deliver progress in adjusted EBITDA compared to 2012. And we also have to record backlog exceeding $40.4 billion at the end of the quarter. And we all see growth opportunity in all markets in spite of some industry project being delayed or postponed. And now, let’s turn to your question.
Operator: (Operator instructions) Your first question comes from Phillip Lindsay – HSBC, please ask your question.
Phillip Lindsay – HSBC: Yes, hi there, three questions please. First of all on Guara-Lula, can you run through step by step the key execution milestones and the time table against those milestones from now through until the end of the project? And I think as you’ve done previously, perhaps you could give an indication of physical progress on the contracts as we stand today. That’s the first question. The second one is just on the how the competitive situation is shaping up in the North Sea? We’ve seen recently one of the JV set up to target your dominance in that region. That’s been dissolved. So I’ll be interested in your views on how this changes things and perhaps any other developments that you’re currently seeing in that market? And then the last question is really around some current biding activity. Assuming that Technip win the 10 project in Ghana [ph], do you have a role on the contract and if so how big is your role in percentage terms? And then the other was just around the Gendalo project in Indonesia where it looks like you teamed up with a local in Sea player there [ph] who as far as I can see, you’ve got very little subsea experience. I know you’re not formally announced this but the industry press suggest that you’ve won it. So I’m just interested in how you intend to manage the execution of that project. That’s it. Thank you.
Jean Cahuzac: Yes. Before I’ll answer your question, I think Ricardo want to clarify your point. Go ahead [ph] Ricardo.
Ricardo Rosa: No, I think I was just going say Phillip, that those sound like about six questions [inaudible].
Phillip Lindsay – HSBC: Sorry.
Jean Cahuzac: So let me clarify your point. I think when I talked about the backlog, I want you to refer up to 10.4 billion backlog which is a recall backlog. I may have not mention that number [ph] but it’s 10.4 billion, just for clarity. Regarding the Guara-Lula project, I mean, as I mentioned in my opening statements, we make progress in a number of area. I mean, from engineering to procurement to now the fabrication shore-based [ph] facility being in full projection mode. The critical operations that we have to execute are the installation of the voyage [ph]. And we estimate that this voyage will be in position around the end of this year, around the end of 2013. That’s really the critical milestone. When we reduce the project as we are today, we have no reason to make comments which are different from the one that we made in June. Regarding the North Sea, you mentioned dominance in the region, there is competition in the North Sea. We are well-positioned in the North Sea but we are not dominant in the North Sea. We have competitor against us. I think what happen in the [ph] North Sea is that within that differentiators, our key differentiators come with the size of our fleets, our engineering and project management skills as well as the technology that we are using like the example that I mentioned on the bundles. That positioned us very well compared with some other competitors. Regarding the alliance [ph] or joint venture between our competitors, we let the competitors comment on what their plans are and how [inaudible]. Regarding the bidding, as you know, I mean, we are waiting for a wall to the 10 project [ph] to the market. And should we will be successful together Technip because we are in consortium on this projects. Should this project be awarded to the Subsea 7, Technip consortium, then we will launched the share of what’s called that we have [ph] between the two company. And then you mentioned the Gendalo project, I mean, the project have not been awarded to the market. We are well-placed for this project. But I would not necessary conclude that we will win this project. That’s still a long way to go. We are quite comfortable with our local partner who is the pipeline company which would, if we were to be successful, executed the shallow part of the installation of the pipeline which is something that they are used to and they have quite recently robust [ph] to do this operations. We would do the most sophisticated deep water operation. And we will work together as part of the consortium. So we are quite comfortable with the expertise of our partner and also the way we have defined the scope of work between him and us.
Phillip Lindsay – HSBC: Okay.
Jean Cahuzac: Again, I mean, the timing of the project to award Gendalo to the market is still to be seen.
Phillip Lindsay – HSBC: Okay. And that’s it, very helpful. Thank you.
Operator: Your next question comes from Erik Tonne – SB1 Markets. Your line is open.
Erik Tonne – SB1 Markets: Thank you. Just to start with a question on West Africa. You previously, I think repeatedly stated that we should expect lower activity in West Africa this year and 2013, would be a bit of a transition year in West Africa. But now you reported a highly decent first quarter and the second quarter I think was very, very strong and somewhat surprising I guess for most of us. So the question is, what’s actually happening, is it that you’re getting more variation orders and do you still expect 2013 to be sort of a transition year? So should we expect a significant softening of the result in that region in Q3 and Q4 or I would just sort of, sailing smoothly into 2014.
Jean Cahuzac: Well, I think, I mean, a general comment on West Africa, I’m very pleased with the project execution in Africa and it confirms recommended [ph], we had in the past, in the Guara-Lula project was really a one-off issue that we are facing. And that jury [ph] speaking, I mean the execution outside of the Guara-Lula project was very good. That explains some of the results of West Africa. There has been some variation orders as we always see on the project in West Africa and then it’s a question and also timing with the CLOV project coming to the offshore phase, although the CLOV project is a project which was made at a low margin, taking into account the business market at the time. The execution of the project is going on very well and that has a road to deliver overall good results too. Regarding the activity for ‘14, I mean, it’s too early to commence an activity of ‘14. The only thing I can mention is that when you talk about Ehra North and Lianzi operation will be in ‘14 but also in ‘15, so it will not be only in ‘14. And should we be the winner of the 10 projects, the execution of the project will be post ‘14 too. So a strong result in Africa driven by execution and some additional views but I think overall, I’ve not changed my view on the region.
Erik Tonne – SB1 Markets: Okay. Is it unfair to say that we should assume a fairly corresponding performance also in the coming two quarters?
Jean Cahuzac: I think its common that made it, that we were expecting outside of Brazil, progress on EBITDA overall. It’s already difficult as you know on a quarterly basis to exactly know what would be the timing of some projects or some commercial discussion with the client. So when you look at the overall group level, where we still show progress compared with 2012, when you have removed the $300 million loss in Brazil on Guara-Lula from the equation.
Erik Tonne – SB1 Markets: Excellent. And then one question if I may on Guara-Lula as well. I don’t know if this is possible, but is it possible for you to quantify some kind of a run rate here that if you are, let’s say for example, one month additionally delayed compared to your current plan. What would the sort of cost of that be, sort of additional time delay?
Jean Cahuzac: As you can imagine, when we’ve done the review of the project and we are doing the review of the project on a monthly basis or even move [ph] and then in a monthly basis, we run a number of one east [ph] scenario and some of these scenario takes into account the delays on whether, taking into account the winter of Brazilian season and it’s a consolidation of old [inaudible] which lead us to announce these loss of – additional loss of $300 million. When we look at how we see the project and the way forward in the winter season, we have made a number assumptions about delays which I included in these numbers.
Erik Tonne – SB1 Markets: Do you not want to quantify some kind of a run rate or the cost you’re having extra per month on this?
Jean Cahuzac: It varies a lot. I mean, I can’t really answer your question. It depends where you are, what you phase you are, which phases are involved that will best not coming into the project, going after the project so it would rate [ph].
Erik Tonne – SB1 Markets: Okay. Thank you. That’s it for me.
Operator: Your next question comes from Mick Pickup of Barclays. Your line is open.
Mick Pickup – Barclays: Good afternoon gents, good results there, a couple of quick questions on Brazil, sorry to be on that. Obviously, on the last call, you said you were going to refrain from bidding until things that come more in the contract to favor. Can you just talk through any initial conversations you would have with Petrobras and what they’re reaction has been? And secondly, given the genesis of Guara-Lula, maybe for Ricardo, have you had the look at the goodwill balance and what’s associated in Brazil and made any decision on whether that’s still appropriate?
Jean Cahuzac: Yeah. Thank you Mick, I’ll answer the first part of the question and then I will pass it to Ricardo. What we said about Brazil is that we will not bid for a project with a similar risk profile, i.e. the last recent project that Petrobras are planning execute. We are still bidding, still on the market for [inaudible] seas projects and for middle sized, small sized project outside of Pre-Salt for Petrobras all day rate like the 17th contract that we signed some time ago with Petrobras. We have the number of meeting with Petrobras to explain why we couldn’t go on with the same risk ph profile on this very last project. I think Petrobras was, I mean, repetitive [ph] to our argument and listening to what we have to say, there is a specific project where we notify the provider to Petrobras that we will not bid, in line as what we had announced before. They were obviously, I think they were disappointed that we will not bid but there is no hard feeling, and I think the plan in the future will be to work together to see how we can align a bit, better objective. And I believe that we can achieve this objective but it’s not going to be done in very short term. It’s something which will take some time to be completed.
Mick Pickup – Barclays: Okay, thank you.
Jean Cahuzac: But we are in the – we are in discussion with Petrobras and I would say it’s a frank, open and constructive discussion, but you shouldn’t expect us to bid Pre-Salt job in very near future.
Mick Pickup – Barclays: Okay.
Jean Cahuzac: Ricardo.
Ricardo Rosa: Thank you Jean. Good after Mick. With regards to your question on good will, I mean, clearly the loss that we recognize in the second quarter was an indicator of impairment and as a result, we carried out a goodwill impairment exercise in the quarter. The result of that exercise was that we concluded that there was effective impairment. Now what you need to bear in mind is that the good will balance of about $2.5 billion has been pushed down to the territories which are cash generating units, CGUs, I remember the term correctly. An amount allocated to Brazil is rusted [ph] below and I think it’s disclosed in our annual report and it’s less than $300 million. So we’re not talking a huge amount of goodwill allocated to Brazil. Now when we evaluate whether or not an impairment is taking place, we look at future cash flows as opposed to once that have been incurred so far. And we have shared with you on previous conference calls that it is our intention to turn the corner on Brazil and bring the territory back to levels of profitability that are comparable to other territories around the world. And based on these projected cash flows, our belief in the growth opportunities and returns on [inaudible]. We concluded that an impairment of goodwill in Brazil was not warranted.
Mick Pickup – Barclays: Okay. I get it. And while I got you Ricardo, can I just clarify on your tax guidance of effective underlying to 50 to 54. So I think what you said was effective underlying was 54 in the first half, plus 1 off benefits meant the underlying was 33%, and then the four year is going to be a 54, effective underlying. I should then add back most of those first half, one or five [ph] terms, to get you a tax rate for the year which is lower than 54%.
Ricardo Rosa: Mick, I think you make your – okay, let me step back a bit here. I think the, yeah, we draw a distinction between the underlying effective tax rate which if you like is the clean effective tax rate for the year, not taking into account what we call discrete items. And discrete items as you know are tend to be true-ups are often true-ups of prior year estimates or settlements relating to prior periods. You are correct in your understanding that in the first half, we benefited from a certain quantum of discrete tax items, which are not part of the 54% underlying effect of tax rate. So when you project forward, you have to obviously project utilizing our guidance on the underlying effective tax rate and then take a view on the discrete items. I can’t help you further than that.
Mick Pickup – Barclays: Yeah, okay. So, those one or five [ph] terms have happened in what the first half have happened, they will stay there then will make an assumption on what happens in the second half on those [inaudible].
Ricardo Rosa: That is correct.
Mick Pickup – Barclays: Perfect. Thank you, sir.
Ricardo Rosa: All right.
Operator: Your next question comes from the line of Goran Andreasson from RS Platou Markets, please ask your question.
Goran Andreasson – RS Platou Markets: Yeah, hi. Three question from me, please. First, your guidance for your share of net income of associates and JVs remain unchanged at US$ 85 to 95 and that’s by the first half contribution of 78. Could you explain why you expect a significantly less contribution in the second half from SapuraAcergy and the Seaway Heavy Lifting, and from the first half? That’s my first question. My second question is on the PLSV contract for Petrobras in Brazil to build three new boats. Could you give us some more flavor on payment structure towards [inaudible]. Is it 80 or a 20/80, is it 10/90 and also, on the financing of those vessels and what we should expect in terms of overall return on this contract. My third question goes, or is about current projects being a bit or smaller projects being a bit challenging for your clients from an economic standpoint, techniques that they are being approached by its client base to come up with new solutions or help them to come up with new solutions to make these projects more economic. Is that a trend that you’re seeing as well and are you expecting that you could – that you have the right technology content in your mix? Do you actually also help out on this, towards your clients? Thank you.
Jean Cahuzac: Yeah, I’m going to, I need to take the last question and then I will ask Ricardo and John [ph] to answer the two first questions. I concur with the technique that we are asking clients coming back to us to work on solution to lower the cost base of the projects, of some of the projects. I would say it’s more of a last project than a small project, of the technology [inaudible]. In order to overall improve the economics of the project, it’s happened for instance on a project like [inaudible] on Block 32 in Angola, but it’s happened also in the North Sea. It’s really good for a company like Subsea 7. It’s in the defense that we believe that we can bring a solution to the clients. We are differentiating ourselves with the technologies through our project engineering and project management. So we see these trend as positive for Subsea 7 as a good way of differentiation especially with smaller company or new comers, it’s positive for us. Talking about the share of the joint venture, Ricardo, do you want to comment?
John Evans [ph]: I’ll take the joint ventures. The two joint ventures on SapuraAcergy where we’re working on Gumusut in the third quarter and then the work changes profile as we get ready to go to Australia to start work on Gorgon Heavy Lift and tie ins [ph] which starts in Quarter 1 next period. So we have the reconfiguration of the vessel and we have some plundering [ph] time which means that the profile for the fourth quarter will be different around there. If we look to see we’re heavy lifting the Stanislav Yudin which was the original vessel in the joint venture. We’ll start a life extension [inaudible] in quarter four as well. So our earning capability in the second half will be different from the first half. Although we expect the third quarter to remain strong in renewable work and then [inaudible]. And moving on to the PLSVs, Ricardo [ph] in terms of the payments.
Ricardo Rosa: Yes, I think, Goran, good afternoon. As regards with the PLSVs and the – our payment structure is, in very general term, threaded [ph] over the life of the third vessel construction period. We haven’t structured it in a manner way by [inaudible] we’re either up-fronted or back-ended. We are pretty evenly spaced over the, roughly three years it takes to build these vessels. And as far as your question on financing is concerned, we, as a policy, do not have project specific finance. We raised financing at the corporate level and used the additional funds to support our capital expenditure program over the five-year period.
Goran Andreasson – RS Platou Markets: Thank you.
Paul Gooden: Gordon, can I get you to mute your phone before we take the next question? There’s quite a little background noise.
Goran Andreasson – RS Platou Markets: Okay, sure. Can you hear me now?
Paul Gooden: Yes, it’s your calling [ph].
Goran Andreasson – RS Platou Markets: Okay, yes, there’s still noise?
Ricardo Rosa: Fine, yeah.
Paul Gooden: We’ll take the next question please, operator.
Operator: Your next question comes from Henry Tarr of Goldman Sachs. Please ask your question.
Henry Tarr – Goldman Sachs: Hi there, most of my questions have been answered, but just quickly on the driver for the lower admin costs in the quarter or for the year, what’s driving that please?
Jean Cahuzac: Ricardo, you want to answer this question?
Ricardo Rosa: Yeah. Yes, Henry, I think if you look at the administrative expenses year-to-date, first half, they are down but they are also positively affected by the release of a merger related provision that was included in our PPA adjustments at the time of the merger of about, again, we exclude that in our first semester [inaudible] so you need to back that – put that back in to get the underlying stress [ph]. Setting that aside, I’m pretty pleased with the work that has been done by the organization in controlling our administrative expenses. We’ve been focused on a number of areas, a number of variables. And we’re also seeing a pretty large outlook in our headcount. And we feel that some of these safely, at least a proportion of these savings are sustainable and we have therefore lowered our guidance here.
Henry Tarr – Goldman Sachs: Okay, very helpful. Thank you.
Operator: Your next question comes from Ryan Kauppila of Citigroup. Please ask your question.
Ryan Kauppila – Citigroup: Yes, good afternoon. Just on the recent PLSV new builds, your contract duration was shorter than some of your peers. I’m wondering if there was a strategic reason for that. And then secondly, looking at your backlog now on Brazil, you’ve highlighted previously that the big bear’s entry, your competitive advantages are more alone the soft skills and not along the fixed assets. I’m just wondering how the increase in PLSV charter activity sort of correlates with those strengths?
Ricardo Rosa: I think for us to answer your question, the partial contract duration what the strategy decision on our side. We believe it’s the best way to optimize the longer-term return of investment for a number of reasons that I cannot detail here for commentary reasons. But we believe it was the best solution and we actually pushed for the solution. Regarding the backlog in Brazil, I mean the PLSV work is a good business. We expect to return more than our cost of capital for these vessels. It’s a day-rate business, it’s a low rate. We generate good profit. And it’s a baseline of what we are doing in Brazil. We intend to do them around Brazil in the second quarter of ‘14 from a financial best take view. And on the medium term horizon, we intend to develop other work on a pitch where our work is our differentiator of these through engineering and project management, the soft part of the business that you mentioned. But we will do that only with the right risk profile which mean that we will have to define all the [inaudible] to write a new model. And we take time to define a new model. Once we’ve done that, we believe that we’d be back for this operative business. So it’s a– we support that we are thinking in Brazil on that result to actually – done around the financial [inaudible] in short term, second part of ‘14 and then draw the VLS again, but this time with the right risk profile.
Ryan Kauppila – Citigroup: Okay, and just one quick one for Ricardo if I can. I’ve been thinking it’d be an issue before today. But if the convertible does convert, right now is the plan to use the cash to buy back that dilution or is that something to be decided later?
Ricardo Rosa: Clearly, we’re looking at both the Knarr and we’ve been looking at both the Knarr [inaudible] but at this point, I’m not sure I really want to comment in detail of what our strategy will be. You know, we have in the past I think we have pretty good record of being shareholder-friendly in terms of returning cash to shareholders that’s included. That will be one of the options that we’ll be looking at. We do also have a pretty ambitious program of capital expenditures and that has to be another factor as well. And a third factor too obviously is the potential impact of – or the impact of the Guara-Lula related challenge. But I say it, I mean these are just elements of the equation. And we’ll be evaluating this on the coming months. And we’ll provide guidance as soon as we can.
Ryan Kauppila – Citigroup: Great. Just to clarify maybe your point on the CapEx plan, it’s a disciplined plan with additional investments when we are comfortable or confident that we can return more than the cost of capital to what you say is recent investment. So the future will tell what we do in this area or what we’ll not do in this area. It’s still optional.
Ricardo Rosa: Okay, thanks for that.
Operator: Your next question comes from Kristian Diesen of Pareto Securities. Please ask your question.
Kristian Diesen – Pareto Securities: Yes, just on the EBITDA guidance and say that in the report, the progress wording, but the previous review didn’t say anything that you’re comfortable with the current consensus EBITDA at that time, a little 12.50. So just wondering, after at the Q2 performance, did you see some upside to that figure or if that’s still the level we should expect for ‘13?
Jean Cahuzac: Well, we think that our whole expectation for ‘13, when you look at the results of the EBITDA or financial results, I don’t look at this on a quarterly basis. I mean, we’re very pleased obviously with the results of the Q2 outside of Brazil. I would not necessarily extrapolate the margins as the realistic margins for all the quarters to come. So we have to make that into account. And everything that comes about if you invest outside of Brazil, taking out this $300 million loss, we expect to see progress compared with ‘12 in line to what we thought earlier before we took the loss in Guara-Lula.
Kristian Diesen – Pareto Securities: All right, and then just on Guara-Lula, if I remember correctly, it stated the June call that followed by year end, you should have some strategy on sort of the critical offshore phase, is that still the case, so that’s sort of towards your Q4 report and we should some more comfort on that project?
Jean Cahuzac: Oh, they key milestone is the installation of the buoys offshore and we expect to complete the installation of these four buoys offshore by the end of the year, around the end of the year. At that time we will have an idea of where – not an idea – we will know where we are on this milestone. We will also in the summer period in Brazil which will make things easier. And that, we’ll comment on that at that time.
Kristian Diesen – Pareto Securities: Okay, thank you.
Operator: Your next question comes from Katherine Tonks of RBC. Please ask your question.
Katherine Tonks – RBC: Good afternoon, I just have two very short questions. Firstly, you mentioned the impact on the revenues of Seven Oceans leaving the North Sea, but I wonder if that shows a margin impact, and then secondly, a slight [inaudible] space to what you’re saying in Brazil, I think in the past you said that Petrobras has also a sort of day-rate approach as opposed to their own internal processes in managing their suppliers like Subsea 7 and they needed to change that to move towards an EPIC model. And I’m wondering if there’s any sign that that they sort of appreciate that they need to change their internal processes.
Ricardo Rosa: Yes, thank you for the question. The first part of the Seven Ocean is that the Seven Ocean has moved out of Brazil and will remain at the North Sea, sorry, and will remain in Brazil to complete the Guara-Lula project. The Guara-Lula project being at the no margin, there will be no push from the Seven Ocean as we had in the past in the North Sea when she was there. So that’s what we meant. Regarding the Mexican [ph] model and the Petrobras model, the day-rate model that we have with the PLSV worked very well both from Petrobras and ourselves. And the Petrobras model for EPIC is a new way of working. And we will have to define together with Petrobras a different way of organizing the projects of sharing the risk and handling a number of challenge which relate to Brazil, searching probations, supply chain, et cetera, to be able to operate in an acceptable reason for applying. So it’s not the question of going to day-rate. It’s a question of moving, operating differently on the [inaudible] basis and that’s what we will work on at least Petrobras in the months to come. But that will take some time. I mean I’m not expecting a short answer to this challenge.
Katherine Tonks – RBC: Okay. So can I just come back on the Seven Oceans with thinking of the impact on the North Sea itself, whether vessel has contributed a high margin and let’s say do they include in Q3 and Q4 and maybe a bit of margin dilation just because that vessel is no longer there?
Ricardo Rosa: Hasn’t been there for the year.
Jean Cahuzac: Yes, she hasn’t been there for more than a year, so –
Katherine Tonks – RBC: Oh, okay. Thank you.
Operator: Your next question comes from Haakon Amundsen of ABG. Please ask your question.
Haakon Amundsen – ABG: Yes, hello, gentlemen. A couple of questions if I may. First, when it comes to the North Sea, you’re mentioning your year-on-year revenues being impacted by the Seven Oceans. Just wondering if that’s the kind of year-over-year impact we should expect also for the second half. And also, the margins in the North Sea, the year-over-year impact, is that going to be similar for the second half? And then also if you can explain a bit on the capacity additions you then intend for 2014 in the North Sea. And then secondly, on 2014, I assume you’re not ready to provide a financial guidance, but there has been some – a lot of talk about moderation on CapEx by oil companies, at the same time, you do have very good backlog for 2014. How – just trying to grasp your comfort about the current consensus estimate for next year and should we expect – is it fair to still expect that earnings growth will accelerate in 2014 if you exclude Guara-Lula in 2013? Thanks.
Jean Cahuzac: On your last point, I mean 2014, I’m not able to comment on 2014, it’s too early and we will come on – I mean, we will comment on ‘14 later in the year. So, I cannot really answer your question on ‘14. Regarding the Seven Oceans, as John mentioned briefly before, I mean, the vessel has [remained] outside of the North Sea. In ‘13, we’ll be out of the North Sea for the rest of ‘13. And in ‘14, we’ll work outside of the North Sea too. She will work on Guara-Lula and then move to some African project which are higher margin than Guara-Lula obviously. Regarding the margin in the North Sea, we – the low margin projects are mainly behind us now, the one that we got when the market was more competitive, was more challenging. What we estimate is going to happen in the North Sea is a higher margin on project while they are executed, but we also expect some seasonal effect in Q4 as we’ve seen in the past with lower activity in the Q4 which is a reflection of the winter period in the North Sea. So, the – in terms of overall project portfolio, we are seeing an improvement margin in the North Sea, taking into account the cycle we are in. But we still see in Q4 ‘13 and Q1 ‘14 some seasonal effect with lower activity from our operators during that time.
Haakon Amundsen – ABG: Okay, thanks. And if I may, and lots of moving parts in that text guidance for the full-year, is it possible to provide a more precise guidance for the effect and impacts in the second half for the year to make it a bit easier for us?
Ricardo Rosa: Haakon, I thought we’ve been fairly detailed in the amount of guidance that we’ve given. I mean, I think what we’re saying is we just got to think of two concepts basically. We’ve got the underlying effect of tax rates which we have revised upward from 31% to 33% to 51% to 54% as the result of the adverse impact of the Guara-Lula losses which are – do not generate a tax benefit. And then what you will have, and we have this every year as most companies do, are what we call discrete items which are true ups[ph] of prior year estimates after we’ve filed our tax returns or true ups or adjustments to our uncertain tax positions. And these can have a positive or a negative effect on our underlying effective tax rate. We don’t provide guidance on discrete tax items. I’ve indicated on a year-to-date basis that the effective tax rate through 31st of June had benefited from certain discrete – positive discrete tax items. I cannot provide guidance on whether or not there will be additional positive discrete tax items in the second half. So after that, you have our projections of the underlying effect of tax rate which we have guided at between 51% and 54%.
Haakon Amundsen – ABG: Okay, thanks for that.
Paul Gooden: Operator, perhaps time for one more question, please.
Operator: Your next question comes from Frederik Lunde of Carnegie. Please ask your question.
Frederik Lunde – Carnegie: Hi, I’m from [inaudible] the numbers. Just one question relating to comments previously on increased competition in particular in Southeast Asia on the smaller projects. So I’m just wondering, we’ve seen McDermott having some difficulties down there, we’ve seen Fugro [ph] having challenges. How do you see the competitive environment developing?
Jean Cahuzac: Well, I mean, I wouldn’t like to comment on competition performance or lack of performance. I think they will answer the question. But technically, we are in the competitive market and we’ve seen competition all around the world for – from the recent past in a market which is overall improving, with different environment which is overall improving. When I look at our position, I mean, I have not changed my views. We are a strong company. We have a way of differentiation through project management engineering. We see more and more epic projects which is really the projects where we can excel. And with the diversity of the fleet and the technology, we are very well positioned to face the competition which is coming or trying to come back to our market. So, no additional comment on that. There is competition and we foresee to other competition in the future. And I think with that, I would like to close the session. I would like to thank everybody for the participation. I’m pleased again with our project execution outside of Guara-Lula. It’s a trend which I think will continue. And on that, I will talk to you at the next earnings call. Thanks a lot.
Operator: That does conclude the conference for today. Thank you for participating. You may now disconnect.